Operator: Good day, and welcome to the Activision Blizzard Fourth Quarter 2015 Earnings Call. Today's conference is being recorded. At this time for opening remarks and introductions, I would like to turn today's call over to Amrita Ahuja. Please go ahead.
Amrita Ahuja - Senior Vice President-Investor Relations: Good afternoon and thank you for joining us today for Activision Blizzard's fourth quarter 2015 conference call. Speaking on the call today will be Bobby Kotick, CEO of Activision Blizzard; Thomas Tippl, COO of Activision Blizzard; Dennis Durkin, CFO of Activison Blizzard; Eric Hirshberg, CEO of Activision; and Mike Morhaime, CEO of Blizzard. I would like to remind everyone that during this call, we will be making statements that are not historical facts. These are forward-looking statements that are based on current expectations and assumptions that are subject to risks and uncertainties. A number of important factors could cause the company's actual future results and other future circumstances to differ materially from those expressed in any forward-looking statements, including the factors discussed in the risk factor section of our SEC filings, including our 2015 Annual Report on Form 10-K and subsequent Quarterly Reports on Form 10-Q, which are on file with the SEC, and those indicated on the slide that is showing. The forward-looking statements in this presentation are based on information available to the company as of the date of this presentation, including information provided to the company by King Digital Entertainment and our preliminary assessment on the impact to our financial information of purchase price accounting, and while we believe them to be true, they may ultimately prove to be incorrect. The company undertakes no obligation to release publically any revisions to any forward-looking statements to reflect events or circumstances after today, February 11, 2016. Unless otherwise indicated, our speakers will be referencing non-GAAP measures which include the impact of the change in deferred net revenues and related cost of sales with respect to certain of our online-enabled games. Expenses related to stock-based compensation, the amortization of intangible assets, expenses including legal fees, costs, expenses, and accruals, related to acquisitions, including the acquisition of King Digital Entertainment, the related debt financings and the associated tax benefit. Please refer to our earnings release, which is posted on www.activisionblizzard.com for a full GAAP to non-GAAP reconciliation and further explanation. There's also a PowerPoint overview, which you can access with the webcast and which will be posted to the website following the call. In addition, we'll also be posting a financial overview, highlighting both GAAP and non-GAAP results in a one page summary sheet. And now, I'd like to introduce our CEO, Bobby Kotick.
Robert A. Kotick - President, Chief Executive Officer & Director: Thank you, Amrita, and thank you all for joining us this afternoon. This month, Mike Morhaime and I are celebrating our 25th anniversaries with the company, and I wanted to take this opportunity to thank Mike and the incredibly talented team at Blizzard for 25 years of creating some of the world's most inspired, enduring and entertaining franchises. They have one of the best track records of any game company in the creation of franchises, and this year with Overwatch, Blizzard will launch its first entirely new franchise in 17 years. From the reaction so far, Overwatch is on track to become a fantastic success. Mike, thank you for 25 extraordinary years, and I'm looking forward to many more together. We ended our 2015, our 25th year, with $4.6 billion of revenues, $1.5 billion of operating income and $1.2 billion of operating cash flow. Upon the expected close of our acquisition of King later this month, we'll have over a 0.5 billion monthly active users in 196 countries, which as an entertainment network, ranks only behind Facebook, YouTube and WeChat in monthly active users. We'll have seven times the audience members of Netflix and have a larger audience than Snapchat and Twitter combined. We'll be the world's leading standalone interactive entertainment company and we expect 2016 to be a record year for the company, with $6.25 billion of revenues and more than $2 billion of operating income. In the past 25 years, based on yesterday's stock price, our compound rate of return was over 1,000% and we outperformed the S&P 500 by almost 300%. In our Annual Report last year, we shared our plans to enhance engagements in our franchises and celebrate our players through initiatives like esports. And we're really beginning to better realize these plans. Last year, our Activision Blizzard games were played for over 14 billion hours and spectators watched over 1.5 billion hours of video content based on our games. In the 2014-2015 season, fans of the NFL watched about 7 billion hours of nationally-televised games, which is less than half the time spent engaged with our franchises. Those televised games generated approximately $7 billion of broadcast rights fees for the NFL and another $4 billion in other revenues including sponsorships, merchandise and ticket sales. When we think about our franchises, we view our responsibilities to our fans and the associated business opportunity through the lens of these leagues like the NFL, the Premier League, the NBA, Major League Baseball or NHL. Our franchises today generate revenues principally from the sale of interactive content but not meaningful revenues from tournament play, advertising, broadcasting and pay-per-view, licensing or merchandising, all of which are great future financial opportunities we are pursuing. We think competitive gaming and the spectator opportunities connected to organized gaming competitions could provide sizeable opportunities for shareholders and great rewards and recognition for our hundreds of millions of players. We continue to believe that esports is another long-term growth pillar for the company, and our recent acquisition of Major League Gaming has accelerated our strategic plans. esports helps fuel one of the underlying drivers of our strong financial performance, which is a deepening engagement with our fans. As I begin my 25th year at the company, I couldn't be more excited about the many, many opportunities we see ahead. Prioritization of opportunity remains a great challenge but our well-defined strategy and focused execution have enabled us to make great content, satisfy large audiences and generate superior shareholder returns for 25 years. Our talented teams around the world are committed to our future success, and for their effort and commitment to excellence, we are very grateful. Now, Thomas will discuss the key drivers of our overall performance, Dennis will review our financial results and 2016 outlook in detail and Mike and Eric will discuss the results of their respective operating units. Thomas?
Thomas Tippl - Chief Operating Officer: Thank you, Bobby, and good afternoon, everyone. Activision Blizzard had another successful year in 2015. We achieved record digital revenues up 20% year-over-year, and for the first time in 2015, our digital revenues were larger than our retail revenues. At constant currency, we achieved 4% revenue growth and 13% EPS growth above 2014's record levels. These results are driven by our strategic focus and execution on growing our audiences, deepening engagement and providing opportunities for more player investment. Let's briefly go through each of these key business drivers. First, we broadened our audience reach with successful new content launches and expanded onto new platforms and geographies. In the fourth quarter, our monthly active users grew to our highest level ever at over 80 million users. For the full year, MAUs grew 25% over 2014. And in key markets like China where we launched three new games in 2015, our revenue growth accelerated to 87% year-over-year, faster than ever before. Second, we drove deeper engagement by providing outstanding game play and frequent content updates. Players spent 3.5 billion hours playing our games in the fourth quarter alone. For the full year, engagement was up 16% to a record 14 billion hours, and this doesn't include rapidly growing hours spent spectating which we estimate for Activision Blizzard alone is now 1.5 billion hours. Third, we progressed in something that is very hard to do, but is critical for our business. We shifted to a year-round player investment model, while growing engagement at the same time. And as a result, we grew our revenues from in-game content and services to over $1.6 billion. That's up 57% year-over-year at constant FX. When executed well, increased player investment and deeper engagement are not a tradeoff but instead can reinforce each other, and we are pleased that our results are proving out this important element of our business strategy. As we look ahead to 2016, in our core business, we expect continued growth from these strategic initiatives against a backdrop of an increasing installed base of devices capable of delivering games around the world. We will continue to see the shift towards a digital distribution network, and most importantly, we will deliver another year of the very best interactive entertainment in the world. In addition to the organic progress we made in 2015, we also created opportunities for growth ahead through new corporate initiatives focused on the fastest-growing parts of our industry. Let's start with King, which we expect to add to our portfolio later this month. King operates in the large and rapidly growing mobile segment with a world-class management team, exceptional game development talent, and great commercial instincts. In addition to being significantly accretive this year, we expect the transaction will solidify Activision Blizzard's position as a world leader in interactive entertainment, positioning the combined company for growth across platforms, audiences, geographies and business models. Second, our recent acquisition of Major League Gaming will accelerate our opportunities in esports. Major League Gaming provides us with a superb streaming platform, league management expertise with MLG Pro Circuit and online competition and prize play through the GameBattles platform. We believe our investments in esports fit perfectly with our strategy to deepen audience engagement by celebrating our players, delivering high production values to our communities and providing greater opportunities for player investment. By the end of February, we'll have one of the largest entertainment networks in the world with over 0.5 billion monthly active users in some of the strongest franchises in all of entertainment with meaningful new long-term growth opportunities for future value creation. We couldn't be more excited to welcome the incredibly talented teams at King and MLG into the Activision Blizzard family. So now, I'll hand it over to Dennis who will take you through our results in detail.
Dennis M. Durkin - Chief Financial Officer: Thanks, Thomas. Good afternoon, everyone. Today I will review our Q4 and full year 2015 financial results, and then I will review our outlook for 2016. Twelve months ago, our original non-GAAP outlook included revenues of $4.4 billion, 30% operating margin, and EPS of $1.15. Today we are announcing that we delivered revenues of $4.62 billion, a 32% operating margin, and EPS of $1.32; once again exceeding our initial guidance, this year by $221 million on revenues and by $0.17 on EPS. Importantly, digital revenues achieved a quarterly record in Q4, and for the year, grew 20% or 29% at constant FX versus last year to an all-time annual record of $2.63 billion. This represented a 57% share of our total revenues, up from 46% last year. This strong growth in digital revenue was driven by new and emerging high-margin opportunities including in-game content and services, which grew 57% at constant FX. These in-game content and services now account for about a third of our total revenues. In addition, console full-game downloads grew 56% year-over-year or at 65% at constant FX. From a capital perspective, we delivered more than $1 billion of operating cash flow for the sixth year out of the past seven years. Further, we strengthened our balance sheet and we were upgraded to investment-grade by Moody's. We paid a record dividend to shareholders, repaid $250 million of our debt and continued to invest in a strong pipeline of new opportunities with high margin potential and announced agreements to acquire King Digital and Major League Gaming. So, it was a busy year on many fronts for the company. Now, let's take a moment to review our operational performance for 2015. Activision grew in 2015 on its path to becoming an increasingly digital business with digital revenues up nearly 70% this year, driven by strong growth from full-game digital downloads and in-game content and services. We still have considerable opportunity in digital because even with this strong growth, less than 50% of Activision revenues were digital last year. In Q4, Call of Duty: Black Ops exceeded our plan in prior year in practically every key commercial and engagement metric delivering upside for the year. And more importantly, the Call of Duty franchise had its largest player community ever at yearend. Destiny's Q3 release, The Taken King, continued to perform strongly as well. We did however experience lower than expected performance on Skylanders and Guitar Hero, which Eric will discuss in more detail in a few moments. 2015 was an important year for Blizzard with expansion across more platforms, business models and regions than ever before. It was the first year since our merger that more than 50% of Blizzard's revenue was derived from content in games other than World of Warcraft. Blizzard has also exhibited strong growth in new territories with China revenues reaching new highs. Blizzard's large online community is growing and is stronger than ever. Now let's turn to our financial results. For the quarter on a GAAP basis, we generated revenues of $1.35 billion, up $135 million versus our November guidance, an operating margin of 18% and GAAP EPS of $0.21, up $0.12 versus our November guidance. For the quarter on a non-GAAP basis, we generated revenues of $2.12 billion, an operating margin of 40% and EPS of $0.83. We outperformed November guidance by $0.01 on EPS. We came in slightly below our revenue expectations largely due to foreign exchange and underperformance on our casual franchises on console. In terms of EBITDA, in Q4, we generated non-GAAP adjusted EBITDA of $862 million and $1.55 billion for the year. Operating cash flow for the year was $1.19 billion and free cash flow was $1.08 billion. We had no share repurchases during the year. On a non-GAAP basis for the year, revenues were $4.62 billion, down slightly year-over-year and up 4% at constant FX. Our non-GAAP operating income was $1.47 billion, reflecting an operating margin of 32% or 34% at constant FX, and an adjusted EBITDA margin of 34%. Our tax rate was 22% and our EPS was $1.32. At constant currency, our EPS grew 13% year-over-year above 2014's record EPS levels. Turning to FX, please note that as discussed on prior calls, the strong dollar continued to be a headwind as our international revenues were translated at lower rates than in 2014. In the quarter, the year-over-year FX impact was $125 million on revenue and $0.11 on EPS. For the year, there was a significant FX impact of $364 million on revenue and $0.28 on EPS. Turning to the balance sheet, as of December 31, we had approximately $5.4 billion in cash and investments, of which approximately $1.35 billion was held domestically. Approximately, $3.6 billion of this cash was held in escrow and combined with the incremental $2.3 billion term loan we have committed from our banking syndicate, we'll provide funding for the closing of our pending King transaction. Now let's turn to our plans for 2016. For the first time, as we shift to a year-round engagement model in our business, we expect more than 50% of our earnings to be realized in the first three quarters of the calendar year. For our Activision business, we expect Call of Duty to continue its strong momentum by the delivery of fantastic new game content including multiple map packs, in-game content and an innovative new Call of Duty game in Q4. For planning purposes, as we have assumed in past years, we have modeled Q4 new release sales to be down from last year's Black Ops III levels. We do expect overall Call of Duty franchise revenues, however, to be up for the year given strong engagement trends leading into the digital season for Black Ops in the first half of 2016. On Destiny, we expect to deliver a new expansion in 2016 but note that we no longer expect a full game Destiny release during the year. We do however expect a full game Destiny sequel to now come in 2017. For Skylanders in Q4, we expect to release an innovative new game, which for guidance purposes we plan to be down year-over-year given the challenging competitive environment in the toys to life category. Turning to Blizzard, we have a lot of exciting plans this year that Mike will cover in more detail later in the call. Blizzard plans to release the highly-anticipated Overwatch in the spring, as well as the Legion expansion for World of Warcraft in the summer. In addition, Hearthstone and Heroes of the Storm will have ongoing content updates throughout the year. Our 2016 guidance today also includes King, as we expect to close the transaction later this month. Note that there are few key closing conditions still outstanding, including Irish High Court approval and EU regulatory approval, both of which are expected shortly. King has already launched Candy Crush Jelly Saga, the first of three new franchise games that are expected in 2016. We are excited about their plan and look forward to closing of the transaction soon. On capital allocation, our board has once again increased our dividend, this year by 13% to $0.26 per share payable in May. Additionally, once we've closed the King transaction, our primary focus for the near-term will be on debt reduction and we plan to repay up to $1.5 billion of debt in 2016. With that context, now let's review the numbers. For 2016, we expect GAAP revenues of $6.1 billion, product costs of 23% and operating expenses of 65%. We expect GAAP net interest expense of $245 million. For both GAAP and non-GAAP, we expect a fully-diluted weighted average share count of 767 million and a tax rate of 25%. GAAP EPS is expected to be $0.45. Our GAAP earnings are expected to be down versus prior year as the expected results will be impacted by additional accounting charges associated with the King transaction, which include, among other things, transaction-related costs and the amortization of intangibles resulting from purchase price accounting adjustments. The majority of these GAAP accounting charges will not impact the economics of our business or our cash flows, although they will have a material impact on our 2016 GAAP results. I want to highlight that there could be significant movement in our GAAP outlook as it will be impacted by estimates and assumptions, which may be materially different when the King transaction actually closes. These estimates and assumptions are inherently difficult to predict. Please refer to our GAAP to non-GAAP outlook reconciliation tables in our earnings release for more details. On a non-GAAP basis, we expect revenues of $6.25 billion, product cost of 23% and operating expense of 44%. We expect a non-GAAP operating margin of 32% and an adjusted EBITDA margin of 35%. We expect non-GAAP net interest expense of $235 million. Non-GAAP EPS is expected to be $1.75, which as we indicated when we announced the transaction in November, contemplates 30% accretion from King. A few things to call out to help you understand the non-GAAP EPS numbers here. First of all, please note that as was mentioned earlier, we do not expect a full-game Destiny release this year, which has an approximately $0.15 impact on our guidance. A full-game Destiny sequel is now expected in 2017. Also note that we plan to transition King's current compensation plan from an equity-based compensation program to a cash-based profit-sharing plan more similar to what is used today at Blizzard and in Activision studio organization. Overall this is value-neutral as it moves equity expense into compensation expense. However, it will negatively affect non-GAAP EPS by approximately $0.06 this year. We believe that this incentive structure has proven successful in our existing business and we're confident that it will also drive business results with King. Note that both the Destiny timing and the King compensation impact are included in our $1.75 non-GAAP EPS guidance for the year. Now let's turn to our quarterly outlook, which assumes King closes later this month. On a GAAP basis for the March quarter, we expect net revenues of $1.26 billion, product costs of 21% and operating expenses of 58%. We expect GAAP and non-GAAP interest expense of $55 million, a tax rate of 25% and share count of 756 million shares. We expect GAAP EPS of $0.21. On a non-GAAP basis for the March quarter, we expect revenues of $800 million, product cost of 23% and operating expenses of 57%. We expect non-GAAP EPS of $0.11. In summary, 2015 was an important year for Activision Blizzard and we again delivered strong financial results during a truly transformational year for the company, which set a strong foundation for future growth. With the largest interactive entertainment network, some of the most important wholly-owned franchises in all of entertainment, solid execution skill and continued business discipline, we are poised for continued success in driving shareholder value creation over the long-term. Now I will turn the call over to Eric to discuss Activision.
Eric Hirshberg - President and Chief Executive Officer, Activision Publishing, Inc.: Thanks, Dennis. 2015 was an important growth year for Activision. Our digital revenues grew by 68% year-over-year. At constant currency our total revenues grew 7% and our operating income grew 30% year-over-year with more than 600 basis points of margin expansion. We're providing great year-round content that our fans love and as a result our monthly active users were up 20% in 2015 year-over-year with a double-digit increase in Q4 as well, reaching our highest level ever. We grew our leadership on next-gen and we now have four of the top 10 titles on PS4 and Xbox One live to date, including the number-one spot with Call of Duty: Black Ops III. And our partnership with Sony is off to a great start on both Call of Duty and Destiny. This year we saw our largest franchise, Call of Duty, ascend to new heights with performance above our plan. OI and margin growth for Call of Duty continues to expand, and we also saw phenomenal reception to in-game content and services. This is a virtuous cycle. Engagement creates the opportunity for us to earn additional player investment by providing more great content, which in turn leads to more engagement. Along with our partners at Bungie, we continued to grow Destiny's incredibly loyal audience base and introduce new ways to excite the community throughout the year, culminating in the release of The Taken King, which achieved record digital attach rates in Q3. And the Destiny community responded well to the new content we made available for purchase in-game in Q4, which allowed players to customize their experience. Our games for core audiences did extremely well, but our games for casual audiences performed below expectations, largely due to greater competition in the toys-to-life genre and we believe because of the casual audience's shift to mobile devices, which will benefit the company overall in the future. We want to be where our casual audience is. In light of the pending King transaction, we're exploring new opportunities on mobile. While Skylanders performed below our expectations, we believe in its future and remain committed to the franchise. We will do what we always do, which is to make sure that we have right-sized the investment on our efforts in the category while continuing to introduce breakthrough innovations that our fans will love. We're excited about the innovations in the next Skylanders game launching this fall from the creators of the franchise and the genre, Toys for Bob. More on that in the coming months. We expect to launch Skylanders Academy, a new animated TV series later this year, which will help extend the reach and the popularity of the franchise and introduce our characters and their adventures to new audiences. Next, Guitar Hero Live is a fun, high-quality game that introduced innovative new game play to fans, including the GHTV platform, which keeps our community engaged and will allow us to cost-effectively deliver new content and build our installed base. We plan to release new content, but not another full Guitar Hero console game this cycle. Turning to Destiny, the Destiny community is one of the most passionate, loyal audiences for a game that we have ever seen. Our audience has logged nearly three billion hours in the game. We're excited to announce that we will be bringing a large new expansion to Destiny this year that players are going to love. We will also be delivering other content and events throughout the year to keep the community engaged. We are also working with Bungie on the sequel to Destiny, which will be coming in 2017, and we look forward to sharing more with you on this in the future. Finally, Call of Duty, which continues to gain momentum and set new records. In quarters one through three, Call of Duty: Advanced Warfare over-performed our plan and the prior year with very strong performance on our digital season of content. In Q4, Call of Duty: Black Ops III exceeded our plan and the prior year in practically every key area: retail sell-in and sell-through, digital full game sales, digital in-game sales and season pass sales. Black Ops III delivered the biggest entertainment launch of 2015, even beating Star Wars: The Force Awakens in its opening weekend. Black Ops III was the top-selling console game globally by a wide margin in both units and dollars sold through. In fact, according to NPD and GfK, we sold through more copies of Black Ops III than the two closest competitors in the genre combined. On a franchise basis, Call of Duty was number one in North America for an incredible seventh year in a row and has now surpassed 250 million units sold life-to-date worldwide with over $15 billion in sell-in on full game and in-game content. Importantly, engagement on Call of Duty exceeded both our plan and the prior year. Call of Duty franchise monthly active users grew by 20% year-over-year in December and time spent grew by 30%. In fact, in November and December, we had the highest monthly active users in franchise history. This reach and engagement is a promising sign as we look ahead to Black Ops III's upcoming 2016 season of content. Season pass sales for Black Ops III have increased significantly year-over-year, setting a franchise record for total sales. We're seeing that players are deeply invested in personalizing their game play experience in the game. We launched Supply Drops for Advanced Warfare well after the launch of the game itself, driving significant player investment and strong engagement. We have already launched an early version of Supply Drops in Black Ops III and we plan to create more fun, new content for our fans to enjoy in the months ahead. This Q4 we will have a new innovative Call of Duty game from our award-winning studio, Infinity Ward, the makers of the Modern Warfare series. And, of course, our esports initiatives on Call of Duty are transforming the experience for pro players and fans alike. Interesting Call of Duty esports continues to rise with a third more people watching the prequalifying matches for Call of Duty World League than watched the championship matches last year. The top teams in the world are competing each week in live broadcast competition to see who will qualify for the Call of Duty World Championships later this year. We'll broadcast 750 hours of competitive Call of Duty programming, but more importantly we'll inspire millions of Call of Duty fans to celebrate the game in a whole new way. And now I'll turn the call over to Mike to talk about Blizzard.
Michael Morhaime - Chief Executive Officer of Blizzard Entertainment, Activision Blizzard, Inc.: Thank you, Eric. 2015 was another strong year for Blizzard. We achieved an all-time high in active players and ended Q4 up nearly 25% in average MAUs year-over-year. On a constant currency basis we achieved even higher revenues in 2015 than 2014, which was a record year for us. These results reflect our careful and long held approach to growing our community and deepening their engagement with high-quality content. In 2015 we expanded to new platforms and new regions, bringing our games to more players than ever before. In addition, we broke new ground with the first live telecast of a collegiate esports tournament on ESPN. And our ninth BlizzCon highlighted the amount of diversity and diversity of upcoming content in our pipeline. BlizzCon also showed the strong connection we have with our global community. More than 25,000 Blizzard gamers attended the show from all 50 states and nearly 60 countries. We had our highest live stream viewership ever with over 10 million people around the world tuning in, and we had record audience on pay-per-view as well. Our specific franchise highlights further demonstrate the value we see in delivering and supporting high-quality game experiences globally. Hearthstone had a great quarter and a great year. For those who might not be familiar with Hearthstone, it's our free-to-play collectable card game on PC, Mac, tablet and mobile. It has very strong global appeal and it brought Blizzard to a new genre on new platforms with a new business model. Ahead of BlizzCon, Hearthstone surpassed 40 million registered players and it closed out December with record global engagement in multiple categories including MAUs. The introduction of Hearthstone on mobile last year was a big contributor to that. We announced our new adventure, The League of Explorers at BlizzCon and launched it the following week. League of Explorers brings new cards, new game mechanics and a lot of personality. Despite the shorter window to launch and no presales as we'd had with our previous adventure, League of Explorers sold over 20% more units as of six weeks post launch. We also expanded Hearthstone into a new region. In October we released the Japanese version providing easier access for new and existing Japanese players. Moving onto World of Warcraft, we saw quarter-over-quarter growth in Q4 as we kicked off presales at BlizzCon for our new expansion, Legion, which is coming out in the summer, and we released a new content patch. With Legion we're taking care to build off the best aspects of Warlords of Draenor to create an experience that appeals to an even wider audience and which offers more opportunities for sustained engagement. Legion adds a new hero class, customizable weapons, class order hauls, which strengthen the social elements of the game and more. This will give players more compelling options for extending their experience. With this expansion we are again offering a character level boost immediately with pre-purchase. And for the first time, we're also offering early access to the new character class, which will be activated for everyone who pre-purchases the expansion once it's ready. Before I move on, I want to thank our community for the generosity they showed with the World of Warcraft charity pet that we offered on behalf of Make-A-Wish. With our player support we achieved a new record for the donation we'll be making to Make-A-Wish, over $1.7 million. That reflects the passion and power of a very strong and very engaged community. Next, Overwatch, our new IP, which will be a big step into a new genre for us as well as our first simultaneous release across multiple platforms. As with other Blizzard franchises, we have long-term plans to support this new IP with more content and also with external world-building efforts and a robust esports program. Overwatch made a lot of news in the quarter and continued to build momentum. We announced the remainder of the 21 hero launch lineup at BlizzCon and revealed the console versions of the game. We also began closed beta testing reaching top-viewed status on Twitch. In addition, we shared our plans to patch in more heroes after launch, which received a very positive response. We are excited about Overwatch's potential and we look forward to sharing more details as we get closer to its spring release. One of our big highlights for the quarter was the launch of StarCraft II: Legacy of the Void. The new features and content make StarCraft II easier to get into than ever before, and we saw a lot of excitement with the launch. As of its first 24 hours, Legacy of the Void had sold through more than 1 million copies. In addition it received multiple awards for best strategy game of 2015. At BlizzCon we announced a series of standalone digital mission packs featuring Nova, a popular character in StarCraft II and Heroes of the Storm. This content will give players exciting new options for continuing their StarCraft II experience, and it will be a great entry point for anyone new to StarCraft. We've been very pleased to see a very positive player response and look forward to releasing the first mission pack in the spring. Q4 was also a busy one for Heroes of the Storm, our free-to-play team brawler that features iconic characters from across our bestselling franchises. With Heroes of the Storm, we've worked hard to push the boundaries of the genre, while keeping the game engaging and accessible for the widest possible audience. For example, at BlizzCon we announced a new game mode, The Arena, which will mix up gameplay with fun parameters, smaller maps and shorter sessions when it's released later this year. We also revealed our tenth Battleground and three new heroes at the show, including Cho'gall, a hero controlled by two players. Players around the world have responded with enthusiasm for unique heroes like Cho'gall, and with support for the experience that Heroes of the Storm delivers. Heroes of the Storm had a great close to the year, taking home multiple awards, including Best Competitive Multiplayer and Best MOBA from Game Informer. I also want to touch on the Diablo III, which has a strong and active community nearly four years after launch. The game performed very well throughout 2015, in part due to our launch in China, which broke sales records there. Players and the media have been enthusiastic about the content we've added over time and our recent patch in January is no exception. There are new zones, legendary weapons, set dungeons and more. In addition we periodically restart seasons, refreshing the challenge for players. Diablo III continues to thrive in all regions and we appreciate all the support from players around the world. We are also supporting community engagement and franchise growth outside of our games, particularly with world-class esports that represent the diversity of our portfolio and our audiences' interests. At BlizzCon we had our strongest esports lineup to date and crowned champions in Hearthstone, World of Warcraft Arena, StarCraft II and Heroes of the Storm, four very different but equally exciting esports experiences for attendees and spectators online. Looking forward, 2016 will be our biggest Blizzard esports program ever. It will be Heroes of the Storm's first full year of global competition. In addition, Heroes of the Dorm collegiate tournament is return and we've added another evening of primetime coverage this time. With the final matches – The Heroic Four – playing out over two nights on ESPN 2. We also made changes to the StarCraft II World Championship Series and Hearthstone's Championship Tour to give local heroes even more opportunities to shine. And we're excited about our esports plans for Overwatch and look forward to sharing more details about that in the future. With strength across all franchises and broader reach than ever, we're very enthusiastic about 2016. We are especially excited about the spring launch of Overwatch and look forward to releasing World of Warcraft Legion in the summer on the heels of the June release of the Warcraft movie. With all the content and activities we have planned, we expect another year of solid growth of the Blizzard community and we're very excited about the future. As Bobby mentioned, Monday was Blizzard's 25th anniversary. We've poured our hearts into making great games for 25 years. We're very proud of the worlds that we've created and the great moments we've shared with our players. We are extremely grateful for the support of our players, and we look forward to many more adventures in the next 25 years and beyond. Thank you, and I'll turn the call back over to Amrita.
Amrita Ahuja - Senior Vice President-Investor Relations: Operator, we're ready for some questions.
Operator: Thank you. And we'll first go to Doug Creutz from Cowen and Company.
Douglas L. Creutz - Cowen and Company: Hey. Thanks. Just on King just briefly, you can confirm that I can do math. With a $1.75 guide and 30% accretion, it sounds like you're expecting $1.35 from the existing business and $0.40 from King. And then the longer question is with King, most of King's peers advertise in their games and King does not. And I know King had some reasons why they made that decision, but I'm just wondering if you look at that, do you think that's a significant opportunity for King going forward? Thank you.
Thomas Tippl - Chief Operating Officer: Hey, Doug. So the way we think about advertising, we think of it as a proven part of large network entertainment businesses like Facebook, YouTube and even Twitch. And therefore we believe it could also be a huge opportunity for the network that we're building, particularly the parts that are accessible for free. Now all that said, we have and always will prioritize a great user experience above all else, and therefore this is an opportunity that we will approach with great care and is also the reason why none of it is factored into the plan and the numbers that we just shared with you today. But when you think about the future, we think there's a significant opportunity and with that significant option value there.
Douglas L. Creutz - Cowen and Company: Great. And then just the question about guidance?
Dennis M. Durkin - Chief Financial Officer: Yes, Doug, it's Dennis. On that, due to the ongoing King transaction and the Irish regulatory restrictions until we get that approval, we're actually not able to unpack the specifics of the pieces. So we'll have to cover that as we get into our next quarterly call.
Douglas L. Creutz - Cowen and Company: Okay, fair enough.
Operator: And we'll now move to Brian Pitz from Jefferies.
Brian J. Pitz - Jefferies LLC: Thanks for the question. A question on Destiny. Lots of change obviously going on at Bungie right now. Maybe you could comment on what it all means? And then any commentary maybe on micro transaction plans for the driving of ongoing engagement? Thanks so much.
Eric Hirshberg - President and Chief Executive Officer, Activision Publishing, Inc.: Sure. Thanks, Brian. So, first of all, it's important for us to keep it in context and acknowledge that we have incredible success on our hands with Destiny that we've created with Bungie, the partnership between Activision and Bungie has proven to be a potent one and we don't see that changing. I think Bungie's proven themselves to be a capable team over many years and many games and combinations of leadership. So while the decisions that they made recently related to their organization are up to them, we're confident that our interests remain 100% aligned and that we're going to continue together to deliver amazing content for our shared fans. On the second part of your question, Destiny is one of the most engaging games of all time and our first job is to make sure that it stays that way. So all the content that we're providing is designed to make sure that we not only capitalize on that engagement, but also continue to make the game better and better for our fans, and that's why we're planning on delivering a large expansion this year and more incremental content along the way to keep fans engaged. And of course we're looking forward to Destiny 2 in 2017.
Brian J. Pitz - Jefferies LLC: Great. Thanks.
Operator: And we'll now go to Neil Doshi from Mizuho.
Neil A. Doshi - Mizuho Securities USA, Inc.: Great. Thanks, guys. Mike, can you maybe help us think about the units built into the guide for Overwatch? I know you guys don't really guide to units, but maybe help us think about other games in the past as a potential comp and how we should be thinking about Overwatch's contribution? And then what drove the solid growth in China revenue, and how much of that came from Call of Duty in China? Thanks.
Michael Morhaime - Chief Executive Officer of Blizzard Entertainment, Activision Blizzard, Inc.: So you're right, we don't typically provide sales guidance. But what I can say is we're extremely excited about Overwatch. It's an important step for us into a new genre that we think has a ton of potential. We have seen a very positive response from players, over 8 million players have signed up for the beta test. Since beta we have been very happy with viewership interest on Twitch. Overwatch is every bit a Blizzard game in terms of I think it exemplifies the design values that we have. It's a ton of fun, it's excellent gameplay, art style, interface. And so I think we're bringing a Blizzard take to an already very fun genre. We're looking forward to launching on PC and consoles on a simultaneous launch this spring. And like other Blizzard franchises, we have long-term plans to support Overwatch through ongoing content, world-building efforts outside of the game to build the franchise, the IP and a robust esports program. So we have a lot of reasons to be very optimistic that Overwatch will be an important long-term addition to our collection of franchises.
Dennis M. Durkin - Chief Financial Officer: Right. And then to the second – I guess maybe the first part of your question about China and sort of how China revenues have moved. A lot of the growth came over the course of the year by having – we obviously have more games in in-market than we've had in the past. But it was really broad-based performance across the portfolio. Diablo obviously had a very strong year, Hearthstone as well caught online, and the rest of the portfolio. So it was really the breadth of the portfolio, but it was really broad-based performance across the portfolio.
Neil A. Doshi - Mizuho Securities USA, Inc.: Thanks, Mike. Thanks, Dennis.
Operator: And we'll now go to Arvind Bhatia from Sterne Agee.
Arvind Bhatia - Sterne Agee CRT: Good. Thanks for taking my question. I was wondering if just going back to the Call of Duty online China question, just how that's been trending throughout the year and as you exit 2015, now that you've had a little bit of time to see it ramp up, how is it performing relative to what you might have expected? And does your 2016 guidance contemplate meaningful contribution from that? Thank you.
Eric Hirshberg - President and Chief Executive Officer, Activision Publishing, Inc.: Thanks, Arvind. The game has been growing revenues month-over-month for the last six months in a row and we believe that the updates we have planned for 2016 will further improve the game play and the performance. The updates to come this year are going include enhancements to the user interface, to onboarding, the addition of supply drops inspired by the success we've seen with that in our western products, esports features and social systems that will make our communities' engagement even stronger and additional modes and maps and characters as well. We also continue to work closely with Tencent to bring more people into the game, which is critical. So we remain optimistic about the game's opportunities and as we said when we launched the game into beta, it will take time to build the ramp.
Dennis M. Durkin - Chief Financial Officer: Relative to the second part of your question what's in the guidance, we have a very prudent I'd say ramp forward even though we have great aspirations for the opportunity that we have inside the game.
Arvind Bhatia - Sterne Agee CRT: Okay. Thank you.
Eric Hirshberg - President and Chief Executive Officer, Activision Publishing, Inc.: Thanks.
Operator: And our next question comes from Colin Sebastian from Robert W. Baird.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): Great. Thanks. Hoping you could add a little detail on the investment required to support both esports as well as the broader multimedia initiatives? And more specifically, how much upfront and ongoing investment or risk do you take on versus the media partners? And then secondly, obviously you mentioned competition intensifying with some of the casual games, but just to confirm is there any macro related pressure either we're seeing through price discounting or sell through that you can identify? Thank you.
Robert A. Kotick - President, Chief Executive Officer & Director: So I'll take the first one, Colin. So as we said there isn't a significant investment in the esports individual operating unit initiative or in the other broader media areas. But what we step back and look at is ESPN. And when you look at ESPN with 80 million subscribers and you see the flight of some of the subscribers, and the opportunities that we see there is roughly $5 billion of operating profit there, $4 billion of league payments for the broadcast rights, and we have 80 million of our own players. And over a long period of time we think that watching a video game competition is going to be a tremendous opportunity. It doesn't require a very big investment today, it just requires us to have and in fact most of the efforts we have are funded by things like organized competition ticket fees, but when you look at what the opportunity is for the future to enhance engagement, to build and strengthen our franchises, to celebrate our players, to provide rewards and recognition for our players; these initiatives are really important for the building of engagement and enhancing the value of our franchises.
Robert A. Kotick - President, Chief Executive Officer & Director: And I guess just to build on that from the investment side, all of our investments start with great people, we now have great leaders in those businesses to prudently invest behind, but as we always are, we're being very choiceful in how we invest and disciplined about the gated investments in those areas. This year it's really less than a couple pennies of investment that will go into our new divisions from an overall company EPS perspective. And most of that is against the media networks which is our esports division that Bobby was referencing there. We do have additional esports investments in some of our business and franchise level details like Mike and Eric alluded to, but we think those are more around demand generation than anything and help support the franchises that they cover. On your other question, Colin, around macro environment and sort of competitive aspects, it is, yeah, you hit on the obviously Skylanders and Guitar Hero points where in the casual segment on console there was more competition, that feels more category specific. When we look more across the broad base of our business, we feel we haven't really felt many of the macro trends that are sort of – and volatility we've seen in the overall market really affecting our business. And in fact, many of the digital trends when you look at our biggest franchises are stronger than ever. And in fact, in many new regions, even regions that are experiencing some turmoil like China, we've had great growth in the past year. So for us, it's more about delivering great content on cadence that will be the most important thing for us.
Colin A. Sebastian - Robert W. Baird & Co., Inc. (Broker): All right. Thanks, guys.
Robert A. Kotick - President, Chief Executive Officer & Director: Thanks, Colin.
Operator: And we'll now go to Eric Handler from MKM Partners.
Eric O. Handler - MKM Partners LLC: Yes. Thanks for taking my question. Interested – what do you think is going to be the planned cadence of releases for Hearthstone this year? And maybe how should we think about the key drivers of growth there in terms of users, specifically like what markets are showing the best growth, and is there still growth drivers among the digital platforms? And also, when you think about higher spending per user, what's going to be the key driver of that?
Michael Morhaime - Chief Executive Officer of Blizzard Entertainment, Activision Blizzard, Inc.: Okay. Regarding cadence, we definitely have plans for some great new content this year, but we're not quite ready to discuss the timing. I can confirm that our next expansion will be out in the spring. As for growth drivers, we've consistently seen strong engagement pretty much universally globally, and we plan to continue supporting that with new content for the foreseeable future. Bringing Hearthstone to mobile last year drove a lot of growth, as did releasing a good amount of new content. We also plan to support the community around social events for the game such as fireside gatherings and high-profile esports experiences. This also drives engagement. In addition, we'll be looking at geographical expansion opportunities like we did last year with Japan. In general, spending does increase around new content, so we're focusing on providing great experiences with new content and making careful design decisions to make sure we protect the long-term health of the game.
Eric O. Handler - MKM Partners LLC: Great. Thanks, Mike.
Operator: And our last question will come from Chris Merwin from Barclays.
Chris Merwin - Barclays Capital, Inc.: Great. Thank you. I just had one. For all of your titles, what percentage of unit sales were digital downloads in the fourth quarter? And as it relates to your 2016 guidance, what are you implicitly factoring in for digital downloads, and what would that imply for gross margins? Thanks.
Robert A. Kotick - President, Chief Executive Officer & Director: Hey, Chris. Thanks. Obviously, the digital transition has been a very nice tailwind for us over the past several years. And really, front-line console games are the final part of that transition, but it's only really part of the equation. As we mentioned in the call in Thomas's remarks and my remarks, the add on content in services which is purchases effectively after the initial sale are really increasingly more important or as important and are growing incredibly fast and is one of the fastest parts of our digital portfolio. To your question, though, on front-line titles, it really varies by title. So for games like Destiny, it had, in the high-20%s in terms of digital downloads. In terms of overall volume for Call of Duty just based on the size of the player base, full game downloads were a lower share than that, although on an absolute basis, full game downloads were up over 80% year-over-year, so very nice progress there. And we know when we look at the Blizzard side of our portfolio on the PC, the vast majority of those front-line games are delivered digitally. Obviously that brings margin benefits for us as each new game gets delivered through digital channels, brings us gross margin benefits, and you'll see that in our overall corporate margin. We were at 32% this year, and with currency effects or excluding the currency effects, it would have been north of 34%. So overall, we think that trend is going to continue on the console side, particularly on the front side, and it will be a nice tailwind for us for 2016 and beyond.
Thomas Tippl - Chief Operating Officer: Chris, the vast majority of what we create are zeroes and ones, and when you look out over 500 million people in the network, you're going to see for the first time we really have the opportunity to sell our products in virtually every country in the world on every type of device, whether it's a mobile device, a desktop device or a console. And so the most important thing for us is engagements across our communities and then the opportunities for delivering player investment follow from there.
Chris Merwin - Barclays Capital, Inc.: Great. Thank you.
Dennis M. Durkin - Chief Financial Officer: All right. Thank you. Well, we appreciate the time today, and we look forward to talking to you on our Q1 conference call in the spring.
Operator: This concludes today's presentation. Thank you for your participation.